Operator: Good day and thank you for standing by. Welcome to the OSI Systems, Inc. Third Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Alan Edrick, Chief Financial Officer. Please, go ahead.
Alan Edrick: Well, thank you. Good afternoon and thank you for joining us. I'm Alan Edrick, Executive Vice President and CFO of OSI Systems; and I'm here today with Deepak Chopra, our President and CEO. Welcome to the OSI Systems fiscal '22 third quarter conference call. We are pleased that you can join us as we review our financial and operational highlights. Earlier today, we issued a press release announcing our third quarter fiscal year '22 financial results. Before we discuss our Q3 results, however, I would like to remind everyone that today's discussion will include forward-looking statements and the Company wishes to take advantage of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to such forward-looking statements. All forward-looking statements made on this call are based on currently available information and the Company undertakes no obligation to update any forward-looking statement based on subsequent events or new information or otherwise. During today's call, we will refer to both GAAP and non-GAAP financial measures when describing the Company's results. For information regarding non-GAAP measures and GAAP measures of the Company's results and the quantitative reconciliation of those figures, please refer to today's earnings release. I will begin with a discussion of our financial performance for the third quarter of fiscal '22 and then turn the call over to Deepak for an overview of our business performance. I will then finish with more detail regarding our financial results and a discussion of our outlook for the full year of fiscal '22. We are pleased with our results this quarter, despite global marketplace challenges, including increasing supply chain delays and logistics cost and geopolitical events. As we work through this environment, we continue to prioritize delivering on commitments to our customers and to our partners, positioning the Company for long-term success and ensuring the safety of our employees. Now we will go through a high-level summary of our financial results. Q3 revenues of $290 million, represented a 2% year-over-year increase, driven by growth in Security and Opto sales, which were partially offset by an expected small reduction in year-over-year Healthcare division sales. Q3 non-GAAP earnings per share were $1.43, up 4% from Q3 of fiscal '21, driven by a lower tax rate and smaller share count, which outweighed increased R&D, higher supply chain costs and a less favorable product mix. Bookings were solid with a Q3 book-to-bill ratio of 1.1. We ended the quarter with a near record backlog of over $1.2 billion, representing a 14% increase since the end of the last fiscal year. Operating cash flow for the third quarter was strong as we generated approximately $38 million, while CapEx was approximately $3 million. Finally, we were active with strategic transactions this past quarter as we acquired two small security companies and unlocked significant value in certain corporate-owned real estate through a sale-leaseback transaction. We also spent approximately $51 million in our share repurchase program. Before diving more deeply into our financial results, I will turn the call over to Deepak.
Deepak Chopra: Thank you, Alan. And again, good afternoon, and welcome to the OSI Systems earnings call for the third quarter of fiscal 2022. We are pleased with our third quarter results where we achieved solid profitability and strong cash flow on slightly higher revenues from the prior year. The overall bookings continued to be robust and strong as we ended Q3 with a backlog of $1.2 million approximately. Going into our third quarter highlights in each division and then I'll turn it back over to Alan to provide further detail on our deep financial performance. Starting with Security, where revenues grew 5% from the prior year despite facing the challenges that Alan mentioned from the global supply chain and logistics and travel constraints that continue as we speak even today. During the quarter, we continued to strengthen our offerings to the marketplace as we made two small strategic acquisitions, which are consistent with our focus on increasing the service and software portion of our recurring revenue base. We acquired a long-standing international distributor in a key European region that we believe has many growth opportunities for our solutions, including establishing a direct local sales service and support footprint. We took a similar approach in another region a few years ago in which we have seen a marked increase in sales since that acquisition. We also acquired a U.S.-based company called Gatekeeper, which provides intelligent optical inspection and recognition solutions to identify threats and provide real-time actionable intelligence. These solutions are utilized for border crossings and checkpoints at critical infrastructure worldwide. The Gatekeeper acquisition expands our hardware offering, while its proprietary software used for the integration of third-party solutions, for example, in vehicle identification, facial recognition and container tracking complements the capabilities of our CertScan software platform, our integration software for cargo and vehicle inspection at checkpoints and border crossings. As we had mentioned before, we are excited about the traction we are gaining with our CertScan Software-as-a-Service or SaaS model with potential customers. Over the last few years, we have made a concerted effort to grow our revenues from systems integration, software and ongoing service and support. These complementary offerings are included in many of our proposals and provide a more steady stream of revenues over the life of the program as compared to a traditional stand-alone inspection hardware sale. Moreover, higher recurring revenue contribution from software, such as search CertScan operator and maintenance training modules and automated image analysis logarithms has the potential to significantly enhance the overall margins in this division. In addition to making acquisitions like Gatekeeper, which brings new vehicle and passenger ID checkpoint software, we are making significant R&D investments to further enhance our overall software solution offering in security. During the quarter, we made progress on our ongoing major programs, including the one with U.S. Customs and Border Protection, CBP, where we are in various stages of supporting the enhancement of the U.S. border security infrastructure, utilizing our cargo and vehicle scanning platforms with X-ray-based technologies. In addition to the hardware, CertScan and the offerings from Gatekeeper are included in the solution for some of these efforts at CBP. We believe that this will continue to grow as CBP continues to expand this approach at various border crossings on the southern border with Mexico. As you might have heard, there are ongoing discussions in Washington, D.C. to get to 100% inspection at the southern border with Mexico. As you might have heard, as an example of the importance of our solutions in helping protect borders and preventing the movement of illegal drugs and contraband, CBP recently announced a significant drug seizure and at border crossing near Laredo, Texas. Multiple screening methods and technologies were used to find the meths hidden inside a truck's trailer that was also carrying food packages. We are truly proud of our contribution in helping secure U.S. borders. Our turnkey programs in Albania, Puerto Rico and Guatemala have been running as expected and are invaluable in demonstrating our large program experience and capabilities to customers as we bid on major projects worldwide. Most of these programs also have already integrated CertScan into their software. The aviation passenger traffic domestically is returning closer to pre-COVID levels, while international traffic is returning at a slower pace. Since we have exposure to both U.S. and international airports, we expect our Aviation business worldwide to grow as these customers will require the latest technology inspection systems, service and support to handle the growth in efficient manner. During March, we hosted the Rapiscan Systems Golf Classic at PGA TOUR event that was held in Biloxi, Mississippi. We want to congratulate the winner, Steve Alker and thank all others that help make it a successful event. Many of our employees, industry partners and customers, both domestic and international had the opportunity to attend and interact at the Classic. The event also raised $1.6 million to support local charities in Coastal Mississippi. Over the last couple of years, the Security division has successfully managed to work through the COVID-related challenges in the marketplace and meet customer demand. Going forward, we anticipate higher demand at ports, borders and airports and a greater willingness from these customers to initiate major projects that were delayed during the pandemic. We have a strong backlog and a pipeline of significant global opportunities across our product portfolio. The recent acquisitions during the quarter also bring new customer relationships that we can leverage to provide other products and services from our existing offerings. With our strong backlog, we are poised for a significant sequential increase in sales and profits in this division. We believe that our ability to offer leading technology and innovative solutions positions us well into fiscal '23 and beyond. Moving to our Optoelectronics and Manufacturing division. In Q3, revenues were solid, while bookings were exceptional, leading to a record backlog for the division. The Opto division continues to work through global supply chain and logistics challenges to successfully serve its large OEM base that also includes our other divisions, Security and Healthcare. Opto saw growth across certain product groups, especially optical components and assemblies for healthcare and technology OEMs. We announced a couple of notable wins, a multiyear order for approximately $35 million to provide electronic assemblies for use in patient care applications and an order for approximately $5 million to provide electronic components to a leading X-ray imaging OEM manufacturer. During the quarter, Opto division also continues its efforts to make its new Indian facility fully operational, which expands our footprint in the region to handle the anticipated future growth, especially for healthcare products. Moving to the Healthcare division, Spacelabs, where we had a strong core, although revenues were down about 3% than the prior year's Q3, which was expected as last year's Q3 contained patient monitoring revenues from COVID-related tailwinds, the division achieved nice operating margin expansion, driven by higher gross margins from a favorable product mix. During the quarter, we saw strength in the U.S. channels. Our cardiology products continued to do well in the quarter with double-digit revenue growth. During the quarter, we also continued to make significant investments in research and development for new products. As we did with the SafeNSound technology acquisition, we would continue to explore opportunities to add technology to enhance our core product portfolio of patient monitoring and cardiology. Overall, the Healthcare division has performed well as the market activity has shifted from COVID-centric demand to more normal historical demand patterns. Throughout this year, I've been impressed with the commitment of our employees to manage the unique challenges in the marketplace and relentlessly serve our customer base. We look forward to finishing the year strong and further enhancing our value to our customers that are critical in promoting health and safety worldwide. As always, I would like to thank our employees, customers and stockholders for their continued support. With that, I'm going to turn the call over back to Alan to talk more in detail about our financial results and guidance before we open the call for questions. Thank you.
Alan Edrick: Well, thank you, Deepak. Now I will review the financial results for our fiscal third quarter in a little greater detail. As mentioned earlier, fiscal Q3 revenues were up 2% compared with that of the prior year. Security division revenues were up 5% with increases in both product and service sales, mainly driven by our cargo and vehicle inspection products. Although aviation-related sales were down year-over-year, we are currently seeing an uptick in activity in this arena. Opto sales, including intercompany sales increased 2% year-over-year with continued momentum in this sector. The growth in Security and Opto sales were partially offset by a 3% reduction in year-over-year revenues in the Healthcare division, given the elevated demand for patient monitoring products, as Deepak described earlier, creating typical comps for this division in fiscal '22. While patient monitoring sales decreased, cardiology-related sales increased significantly for the third consecutive quarter. The Q3 gross margin was 35.4% compared to 36.7% reported in Q3 of fiscal '21. The mix of sales within the Security division were less favorable than in the prior year's comparable quarter and revenues in our Healthcare division, which carries a higher gross margin than our other two divisions were down slightly, each of which has a downward impact on the consolidated margin. Like many companies, we experienced increases in certain component and freight costs in each division, which impacted the gross margin overall. Our gross margin will fluctuate from period to period based on revenue mix and volume, among other factors. Moving to operating expenses. We continue to work diligently across each of our divisions to improve efficiencies and to prudently manage our SG&A cost structure. This quarter's results again demonstrate the success of these efforts. Q3 SG&A expenses were $58 million, comparable to last year or 19.9% of sales compared to 20.4% of sales in the prior year Q3. R&D expenses in Q3 of fiscal '22 were $15.1 million, representing a year-over-year increase of 9%. We continue to dedicate considerable resources to R&D, particularly in Security and Healthcare. We remain focused on innovative product development, which we view as vital to the long-term success of our businesses. In Q3 of fiscal '22, we recorded a $1.5 million restructuring and other charge as compared to a benefit of $0.3 million in Q3 of the prior fiscal year. As previously mentioned, we successfully executed the sale leaseback of our Hawthorne, California facilities at an attractive sale price of $32 million. This resulted in a pretax gain of approximately $27 million, which has been recorded in other income and excluded from our non-GAAP earnings. Moving to interest and taxes. Net interest and other expense in Q3 of fiscal '22 decreased to $2.3 million from $4.2 million in the same prior year period, primarily due to the adoption of the new accounting standard, ASU 2020-06, which eliminated the noncash interest expense associated with our convertible debt. We note that adoption of the accounting standard also resulted in increased debt on the balance sheet by eliminating the unamortized discount of approximately $10 million. On the tax side, our reported effective tax rate in GAAP was 20.1% in Q3 fiscal '22 compared to 33.7% in Q3 of fiscal '21. In Q3 of this year, we recognized a discrete tax benefit of $0.2 million as compared to a $2.2 million discrete tax expense in Q3 of last year. I will now turn to a discussion of our non-GAAP adjusted operating margin. Overall, our non-GAAP adjusted operating margin was 11.4% in Q3 of fiscal '22 as compared to 12.6% in Q3 of last year. The change was primarily driven by the previously discussed factors related to gross margin and increased investment in research and development. We were pleased with the increase in the adjusted operating margin in our Opto division, which expanded to 12.9% in Q3 this year as compared to 12.5% in the prior year third quarter. We were also pleased that the adjusted operating margin in our Healthcare division expanded to 14.7% in Q3 of fiscal '22 compared to 13.9% in Q3 last year. This increase was driven by a stronger gross margin due to a favorable product mix, including strong high-margin cardiology sales. The Security division's adjusted operating margin decreased to 14.9% in Q3 of this year from 17.9% in Q3 of the last fiscal year, which more than offset the improvements in the other two divisions, primarily due to a less favorable mix of customer revenues, rising cost in the supply chain, higher marketing expenses for promotional activities that were specific to Q3 and increased R&D to support new product development. Let's move to cash flow. Cash provided by operations was $38.4 million in Q3. CapEx in the third quarter was $2.9 million, while depreciation and amortization expense in Q3 was $9.8 million. As previously mentioned, we paid cash of approximately $14 million for the two acquisitions, but received $32 million on the property sale and the sale leaseback transaction. We were quite active in our stock buyback program. During Q3 of fiscal '22, we spent approximately $51.5 million to repurchase over 600,000 shares, leaving approximately 1.4 million shares available to repurchase under the current program. Our balance sheet is solid with net leverage under 1.5 and significant capacity for acquisitions and additional stock buybacks. We have multiple alternatives to satisfy our obligations under the convertible notes, which mature in September. Then finally, turning to guidance. As Deepak described, we are anticipating strong sequential growth in Q4, supported by the backlog and sales pipeline. We are reiterating our previous fiscal '22 sales guidance of a range of $1.16 billion to $1.195 billion as well as the non-GAAP EPS guidance of a range of $5.75 to $6.02 per diluted share. We currently believe this revenue and non-GAAP earnings guidance reflect reasonable estimates and we have taken into account the anticipated impact of the COVID-19 pandemic and supply chain challenges in our guidance. Given uncertainties as to the duration and scope of the pandemic and supply chain disruptions as well as other variables, however, the extent of the impact on the Company's financial results is difficult to predict and could vary significantly from the anticipated impact currently reflected in our estimates and guidance. Actual revenues and non-GAAP earnings per diluted share could also vary from the anticipated ranges due to other risks and uncertainties discussed in our SEC filings. In the face of these challenging times, we continue to remain focused on the growth of our businesses and continued management of our cost structure. We believe our efforts in these areas will enable OSI to continue our leadership in providing innovative products and solutions. We delivered solid results during the first nine months of fiscal '22 in a dynamic changing environment and continued to navigate effectively through uncertainty while gaining traction in key strategic growth areas and positioning the Company to capitalize on improving end markets. We would like to take this opportunity to thank the global OSI team for its continued dedication and supporting our customers and contributing to the creation of value for our stakeholders. And at this time, we'd like to open the call to questions.
Operator: [Operator Instructions] And our first question comes from Brian Ruttenbur from Imperial Capital.
Brian Ruttenbur: So first of all, wanted to dig down on the two acquisitions you made. Can you give us some kind of scale on size and how much you paid for those ballpark? Is it bigger than bread box? Anything that you can give us in terms of what these two acquisitions would add to revenue? And how much you pay?
Alan Edrick: Brian, this is Alan. Good questions. The acquisition prices were a total of about $14 million plus some contingent earnouts. In terms of the scale, they're not large, what we would anticipate for our fourth quarter would be something about -- around $3 million revenue contribution. We bought these later in February. So, for the Q3, contributed about $1 million in revenues, but no particular profit in such a short time.
Deepak Chopra: Brian, this is Deepak, just to add on. As I mentioned, these acquisitions basically are made, especially Gatekeeper for a longer-term view of adding on to our product portfolio in security and on the software enhancement, and we think that it will have good impact in fiscal '23 and beyond.
Brian Ruttenbur: Maybe since we're down that road talking about Gatekeeper and CertScan, you can give us an update on kind of traction where you are on CertScan, if there's been any new wins? What the pipeline is looking like for CertScan?
Deepak Chopra: Well, we are very excited about it. As we mentioned in the previous call for the Q2, on the $200 million order that we got from CBP, it had -- a portion of it for the software CertScan, we are implementing it. And I mentioned just now in my presentation, we believe that there is a lot of talk going on in Washington to start getting on to 100% inspection at the southern border, not just at the ports, but at the border crossings. And to get there, CBP needs to be more efficient. They need to have more software integration to be able to have control centers. All that is right up the alley of CertScan. We are working with our customer. At the same time, I mentioned, all our other turnkey systems already have CertScan. We are enhancing it. And any place that we are offering in international sector, we continue to offer CertScan, as a model. And at the same time, the good thing about this model is that it's agnostic for equipment and some of our competitor units are also getting integrated into the software platform of CertScan. So Gatekeeper on the other hand, it has other products, which complement Rapiscan's products. We believe that facial recognition manifest to be able to see the reader of the plate readers and stuff, all that software enhances our capability of offering a solution. And most important thing in this thing that we have to continue to say that, Brian, we believe that this software model has now got traction. It's working and it's basically going to enhance the margin of the division and has the ability to have what is called licensing fees, upgrade ability so that we'll have multiple years of enhancement with a very good margin as we go forward.
Brian Ruttenbur: And then just last question. On the repurchasing front, you repurchased a lot of shares in the period and have a lot more outstanding. Is the plan to continue repurchasing at this kind of aggressive rate or was the quarter this last quarter an aberration because you had all the cash come in from the sale leaseback?
Alan Edrick: Yes, Brian, good question. So, we certainly utilized some of the cash that came in from the sale leaseback, but we went well beyond that in terms of what we repurchased. We look at our overall capital allocation and believe that stock buyback is an attractive element for us. With 1.4 million shares available to repurchase, it continues to represent a very attractive option for us. But as you know, we don't comment on specifically what we may or may not buy.
Operator: Our next question comes from Larry Solow from CJS Securities.
Larry Solow: Questions, a couple on the supply chain and logistics area. Have you seen supply chain and the cost and as well as just supply in general, things gotten better, worse? Can you kind of just give us a feel what you guys are seeing specifically?
Deepak Chopra: Well, we can't predict. In some areas, it's gotten better. In some areas, it's the same. We don't think it's going to get worse. But freight is a big challenge. It changes and supply chain, especially in the electronic components is definitely a big challenge, not only for supply of the product, but also what is called end of life. Some vendors are basically stopping production. So basically, it's there. It's not going away. But we as a company, we feel we are stronger than our competitors because we are vertically integrated and we have divisions and manufacturing in various parts of the world. So, we are capable of handling it better and we have looked at the supply chain in a very focused manner and we are very much addressing it.
Larry Solow: And can you just give us a little more color, the book-to-bill, you said, I think you said it was 1.1, I assume that's mostly Security and Healthcare. Any variance between Security and -- I mean Security and Opto, not Healthcare? Healthcare is mostly not a backlog business. So, can you just give us a little more color there? It sounds like Opto might have been leading the way there. Is that correct?
Alan Edrick: Yes, Larry, this is Alan. Good question. Opto had terrific bookings, Security was solid as well. And you're right, it's Security and Opto that really sort of lead the way to the 1.1. I would say it was a little bit more tilted towards Opto in this particular quarter, but strong overall.
Larry Solow: And you guys -- just in terms of the supply chain, again, touching back on that, are you guys -- is it limiting you -- are there actual areas where you're not able to sell things and you're leaving revenue on the table because of lack of supply or other reasons?
Deepak Chopra: Well, we're not going any place where we say we're not going to supply. And the customers understand it. Basically, it just pushes to the right and customers are patient. They understand the issues. And in some cases, especially in the Opto side, their customer base and the OEM large manufacturers, they also come to help and assist Opto division to procure the material.
Larry Solow: Just last question, just in terms of the guidance, sometimes you guys would narrow it by the fourth quarter, a pretty wide range for the last quarter of the year. Is that just because uncertain times or -- and you just rather just leave it alone? Or any color to that?
Alan Edrick: Yes, Larry, this is Alan. You're right. Typically, would narrow it in the fourth quarter, we do believe these times are sort of unprecedented over the last couple of years and actually lately. So, with all that uncertainty out there, we felt it most prudent to leave the range as it is.
Operator: Our next question comes from Josh Nichols from B. Riley.
Josh Nichols: I think you mentioned that you're going to start delivering on those big IDIQ with CBP, I think, in the fiscal fourth quarter. Is that still the case? So, like what's -- any clarity you could provide on how quickly those might ramp up? And is that going to be like a 12- to 18-month delivery time frame and what the expectation there is?
Alan Edrick: Josh, this is Alan. Yes, good question. We do expect to get some revenues from that in Q4, though somewhat modest. We expect it to really be a big contributor to our revenues in each of fiscal '23 and '24 and then some of the service component for many years after that. But fiscal '23 and '24 will be the big revenue components from those contracts.
Josh Nichols: And then I'm glad to hear the Company, right, focusing more on targeting some of these software opportunities, specifically like CertScan that you mentioned. But I'm trying to think about the size of the opportunity as far as like the software piece of the business. If this were to expand beyond just doing like the ports and things like that, but more towards like the southern border for scanning, like anyway you could help frame that type of opportunity when we think about like next fiscal year for CertScan if some of these do then -- as some of these opportunities do come to fruition?
Deepak Chopra: Well, obviously, we don't want to break it down. But what we can say is, as we move forward, the content of software will continue in absolute dollars to keep going up because as there are more sites installed, as there are more customers who accept it and as we have said, that software as a SaaS software is also agnostic to the equipment. So, just think about it that all -- whether the equipment is Rapiscan equipment or it's made by Rapiscan's competitors, if the customer is going to go back and standardize it to make one central station to do integration, the software will be needed and that not only as a first installation software but also licensing fees and as a what we call number of shares increase as they get more people trained to be on the software, it will continue to increase. So, we can't give you the exact size, but we believe that going forward, as a percentage of revenue, CertScan, Gatekeeper and some of the other integrated software will continue to go up and it has high margin.
Josh Nichols: And then just last question, I guess, two-part question kind of, but it's related. So one, given the vertical integration and your global presence, you probably have better visibility than a lot of the companies. One, any indication of when the supply chain may start to ease? Or is it too hard to say? And then the second part is like acknowledging there's a tough environment to grow and given that these headwinds are there, like with the supply chain, at least in the near term, what are kind of the one or two biggest opportunities on the horizon that you think could accelerate the Company's growth rate more from this mid-single digit to low double-digit level over the next year or so if these supply chain concerns start to ease?
Deepak Chopra: Good question. Difficult to predict. All we can say is with our broad customer base with our broad, what I call, vertical integration, there is not a customer out there who as they need product won't approach us or we won't approach them. So, as the supply chain gets a little bit better, as there is more travel, as we are able to travel and see the customers more face-to-face, that's all growth everywhere. Domestic growth is definitely there. CBP has made it very clear. And like I mentioned in my presentation, Washington, D.C., Congress has been talking about 100% inspection at the borders. That's a major, major increase. And as that goes and the interaction with other partners of doing business to other countries, this will continue to grow and supply chain sooner or later will get better.
Operator: Our next question comes from Sheila Kahyaoglu from Jefferies.
Sheila Kahyaoglu: Maybe just on the topic of the DOD. How much of your security business comes from the Department of Defense? And when we think about the budget just released, what line items? Where should we be looking for OSI's direct benefit?
Deepak Chopra: Well, number one, DOD is also a good customer for us. We do business with them, especially there's a lot of interest right now in the international sector to help with all this conflict that's going on. We can't break it down specifically, but if you have want to go look into it, you look into it nonintrusive equipment for basis protection for borders or for places where there is a high risk of bad things coming across the border. And those are the kind of places where DOD all over internationally, they've used that equipment. For example, at one time, we had a lot of equipment in Afghanistan. And that was a great thing. And in the same way, there are other places in the world where DOD is very much interested, especially with what's happening in the world.
Sheila Kahyaoglu: And then on -- when we think about the end markets that you service within security, do you mind requantifying it? I might have missed them, but I think you said aviation was down. So, can you go around the different end markets and maybe give us sort of the trends you're seeing?
Deepak Chopra: Well, what we said was that at the borders and at the ports, the business continues to be very robust. Air cargo continues to be very robust as there is more airfreight going over. Definitely, aviation, passenger business airports have been down for the last couple of years, but it's coming back. You can just see it everywhere, airlines are increasing their flights, they're increasing their cost structure. They need more -- they want more people into it because summer is coming and there's more travel. And as that happens globally, the airports need to ramp up. So, we think that that's a little bit behind the other businesses, but it's coming back.
Sheila Kahyaoglu: So, we should think about as they receive funds, they'll deploy them for security equipment. That's the way to sort of think about that. And then did you quantify the supply chain impact for profitability? How do we think about security margins not only in Q4, ramping back up, but into fiscal '23?
Alan Edrick: Sheila, this is Alan. We would anticipate that we'll see a nice sequential improvement in the operating margins for security in the Q4. So, we feel quite confident about that at this point in time. We don't quantify the supply chain issues. We'll expect the supply chain issues and challenges will continue to be there for probably the balance of this calendar year. But nonetheless, we expect some expansion of our operating margins.
Operator: [Operator Instructions] Our next question comes from Jeff Martin from ROTH Capital Partners.
Jeff Martin: Deepak, I was intrigued by your comment with respect to customers are increasingly willing to initiate projects delayed in the pandemic. Is that with respect to orders that have been pushed to the right? Are you referring to taking on new projects?
Deepak Chopra: Alan, you want to take that? Can you repeat that again? I did not understand very well, Jeff. Can you repeat it?
Jeff Martin: I was referring to your comment in your prepared remarks regarding customer willingness to initiate projects that were delayed in the pandemic. I was curious if those were existing orders or if those are potential new orders? And anything you could provide some color around that. Maybe an example would be helpful.
Deepak Chopra: Well, I would say it's both ways. Some of the orders we already have and now that it's getting a little bit easier to travel and installation and stuff, customers are encouraging to get that started. But most of the stuff is new business, especially in aviation, as Alan and I both mentioned, aviation has been a little bit hurt, I would say, significantly hurt the last couple of years. It's coming back. And as that happens, that's the area that we think that there's going to be much more demand. The other businesses, most of them are longer lead items, either we already have the products or it's already in our pipeline. It's just a question of its supply chain and be able to get and install and sign up from the customers.
Jeff Martin: And then with respect to border protection, we've talked a lot about the U.S. opportunity. Are you seeing increased opportunities in international markets as well?
Deepak Chopra: The answer is yes. That's one area that every country wants to do that the right way. Think of it this way. I'm sure you heard about it that all the ports at every place, there is such a big waiting list. So, if one is able to expedite the freight by inspection from the source where the ship left and to come to U.S. or Europe, it doesn't need duplicate inspections. So, everybody is working that way, and we have got a very successful model already working between Guadalajara and the Biloxi Port. It's a wonderful system that's working very well, which has increased the efficiency by almost 30% of the cargo coming from there to U.S.
Jeff Martin: And then last question for me. You mentioned the significant margin expansion opportunity within Security relating to software and SaaS model. Curious if you could maybe look in a crystal ball here and give us a sense of where you think Security margins could go over the long term? Is it feasible to get north of 20% on the operating margin side for Security?
Alan Edrick: Jeff, this is Alan. I would say in particular quarters, we could certainly get north of 20%. In terms of being there on a long-term sustainable basis, it's absolutely a goal. It's a question of how fast CertScan and some of our other proprietary software products are adopted because those do approach typical SaaS-like margins. So certainly, a goal to have nice margin expansion in the Security business.
Jeff Martin: Good luck with the strong fourth quarter and close the year out strong here.
Operator: And our last question comes from Brian Ruttenbur from Imperial Capital.
Brian Ruttenbur: Just as a follow-up, guys, real quick. You talked several times about the 100% inspection potentially for, I assume, cargo and port and border inspection coming in the United States. Where are we now? The last numbers I've heard is we're at sub-10%. And what I'm trying to get to is what does this mean in terms of potential equipment sales and trying to understand where we are now and where it could potentially go?
Deepak Chopra: Brian, very good question, and we won't comment on it because the numbers are all over the place. All I can say to you is that's why we are saying there's a significant growth opportunity, and one cannot go efficiently to that high number of inspection without getting what I call software integration and to be able to be more efficient with collection of the data, the images, bussing the trucks fast, so that we think that, that's a golden opportunity. There's a lot of potential. And all I can say that is that on the southern border at certain places between us and the customer, we have actually demonstrated at one or two crossings that we can do 100% inspection.
Brian Ruttenbur: And what is the timing potentially of that 100% inspection that they're talking about? Is it five years? Are they talking that it could be done quicker?
Deepak Chopra: I guess your guess is as good as mine. So, I come back to it is that positive thing is it's working towards that. Again, it has to be efficiency and the ability for Congress to have money available. And we think that, that's golden opportunity, and it will continue to grow and we are well positioned, but I can't say when it will happen, how fast it will happen. All I can say is that as you look at the forecast and the talk, there is growth opportunity over the next couple of years.
Operator: And I am showing no further questions from our phone lines.
Deepak Chopra: Well, thank you very much. And again, I want to thank all the employees and also the patience of our customers and the support of the stockholders. We're not saying it's not been a challenging time. We're going to go continue through this, but we are well positioned. We are addressing all the issues, supply chain, logistics, freight, R&D, new products, employee safety, customer satisfaction, that's all in our blood, and we'll continue to do the best we can. And we are feeling very good about it that we'll have a strong year-end and looking forward to that plus continued years of growth in the business. Thank you.
Operator: This concludes today's conference call. Thank you for your participation and you may now disconnect. Everyone, have a wonderful day.